Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Korn Ferry Third Quarter Fiscal Year 2020 Conference Call. [Operator Instructions] We've also made available in the Investor Relations section of our website at kornferry.com a copy of the financial presentation that we will be reviewing with you today. Before I turn the call over to our host, Mr. Gary Burnison, let me first read a cautionary statement to the investors. Certain statements made on the call today, such as those relating to the future performance, plans and goals, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the Company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned not to place undue reliance on such statements. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties, which are beyond the Company's control. Additional information concerning such risks and uncertainties can be found in the release relating to this presentation and in the periodic reports filed by the Company with the SEC, including the Company's annual report for fiscal year 2019 and in the Company's soon to be filed quarterly report for the quarter ended January 31, 2020. Also, some of the comments today may reference non-GAAP financial measures, such as constant currency amounts, EBITDA and adjusted EBITDA. Additional information concerning these measures, including reconciliations to the most directly comparable GAAP financial measure is contained in the financial presentation and earnings release relating to this call, both of which are posted in the Investor Relations section of the Company's website at www.kornferry.com. With that, I will turn the call over to Mr. Burnison. Please go ahead, Mr. Burnison.
Gary Burnison: Okay. Thank you, David, and good afternoon, everybody. Thank you for joining us. I'm sure that you, like everybody around the world, has been captivated by this humanitarian crisis that we have with COVID-19, and I'm certainly going to comment about that. But I do think it's important to set the stage for our Company today, and the ability to navigate through uncertain times, and clearly there is no doubt about it, this is an uncertain time. So let me first comment on the quarter that finished at the end of January. We delivered 9% constant currency growth, $515 million in fee revenue, solid profitability. I would say, the quarter was very good. Our most recent acquisitions that we did have really added tremendous capability to us around learning and development. And I think we've got the opportunity to take those acquisitions, combine with our own IP, and really tap a multi-billion dollar long-term market opportunity. The Digital business, as we indicated a quarter ago, we thought it would be $100 million for the quarter, it was. That's up 61% at constant currency. But again that's benefited by the recent acquisitions, but organically it was up almost 4% at constant currency. The foundation for this Company's strategy has been knowledge, it has been IP. And whether that has been organically developed or whether it's been through M&A, it's really, I think, we are the bellwether mark around being the experts on human and organizational performance. Every year we develop and train nearly 1 million professionals. We have rewards data on 20 million people. We've done 69 million assessments. We've got thousands of organizational benchmark data. Every three minutes, each business hour, we put somebody in a new job. So I think when you - we definitely know what's the difference between great and good when it comes to organizational performance, and the difference between good and great when it comes to individual roles. So with that richness of our IP and our global capabilities, we believe there is an opportunity to create a $10 billion firm focused on the execution of a client strategy by optimizing its most powerful lever which is its people and the organization that surrounds the people. And so today, we've got a much more diversified and balanced firm. That would include almost $1 billion in revenue coming from Consulting and Digital solutions. That alone is substantially bigger than our next Executive Search competitor. But when you look at those - the Consulting and Digital solutions, it really breaks down into four areas: One is organizational strategy; two, assessment succession; three, learning and development; and finally, rewards and benefits. So I think this diversification strategy, it's going to ultimately provide the most important benefit of tapping larger addressable markets that I think are going to have more potential, more durable and visible revenue streams. And for us, the ultimate goal is to have a bigger impact on clients and what really drives their performance. And so when you look at the data, the strategy is working. I would just point out that when you look at the results of our inside sales, or in other words, the percentage of revenue that's driven from referrals between lines of business, it's 24%. We certainly want to see it higher, but I think that's a demonstration that we're going to market as one, which we set as a goal now couple of years ago when we sunsetted a lot of the legacy brands that we have. So, I believe we're redefining an industry. I think we've got the right know-how of science, data solutions to help companies deliver superior performance. And so with that context, let me make a few comments about the coronavirus. Obviously, at this point, the magnitude of the threat, then the threat that opposes to both human health, which is the most important, and secondly, the global economy, it's unknown, and it's uncertain when there is going to be a meaningful control of this outbreak. So this situation demands continued vigilance and preparation. So let me first comment on what we've done. The number one priority continues to be the health and safety of our colleagues. So we've put protocols in place, whether that's social distancing, we have established a corporate emergency team, we have limited travel, we've limited internal meetings, office visitors, we've closed a selected number of offices, we have some employees working from home, and we are in daily communication with our colleagues. That is by far my biggest priority. And as a CEO, I think that it's not just a question of shareholders, it's a question of stakeholders. And stakeholders are comprised of your employees, your customers and your shareholders. And I think as a CEO, you have to look at all three. And so our first priority has been our colleagues, and we're doing everything within our power to keep them safe. But when we look at our business, I'd also point out that many months ago, as I told you we would, we were going to take actions to position the Company for the future. And those actions included the creation of a regional account program, the continuation of the marquee program, account program, that we have, the One Korn Ferry activity that I referenced earlier, that we were going to moderate our execution and support head count, that we were going to rebrand the KF Digital platform and start to create something that we could actually monetize our IP through the technology platform, that we were going to orient our Professional Search toward knowledge-based assignments, and that we were going to strengthen our balance sheet. All of those things we've done and we've continued with the aggressive recruiting of account leaders. So in spite of these actions, the uncertainty that the coronavirus has presented to all of us has clouded the near-term predictability of our business. And so, even though February new business was solid, it was up 6% year-over-year and we can certainly get into it in the call. In recent weeks and days, we've seen selected governments and companies, they have implemented social distancing actions that are similar to ours, either limiting travel, group face-to-face interaction, we've all seen that. These actions are unlike what you'd expect in a normal economic contraction. In other words, you haven't seen across the board cost cutting along with job eliminations. And so these actions are different. And as we sit here today, the extent to which further incremental social distancing actions are put in place or additional authoritative bodies adopt such measures and for what time, those are substantial unknowns. So the measures taken to date, they almost certainly will impact our business for the fiscal fourth quarter and potentially beyond. And so due to the rapidly changing - situation is fluid. So given that and combined with that creates a lack of visibility with respect to further actions to be taken, it's just too difficult for us to accurately assess and quantify the impact at this point. That's just the truth. So consequently, we're not going to issue any specific revenue and earnings guidance for our fourth quarter, and we're going to reassess the suspension of our guidance. Once we're comfortable that this humanitarian crisis has passed, and I'd just point out kind of one other thing and that is we always do contingency planning, and as part of that, we look back at what happened during the SARS outbreak in late 2002 through the midpoint of 2003, and I had just started with the Company. When we look back at that time, and I'm not suggesting it's analogous, but I think it's helpful to look back in history, our global fee revenue was down about 9% over two quarters. Then once the crisis was contained and that was about the middle of 2003, fee revenue rebounded sharply. I mean, it was a V in fact, what happened was the revenue surpassed the peak, the immediately preceding pre-epidemic quarter. So it was actually, it was higher. And so it's difficult, if you want to - for us to predict, if our business today is going to react in a similar way to the current crisis because, hey, the world looks different. The Chinese economy is four times the size it was. And there is no question if you look how interdependent the world is today just by looking at the news. But more importantly, Korn Ferry is substantially different. And so back then, we were $300 million and today we're $2 billion. Back then we kind of did just one thing, now we do many things. We've increased the scale, we've increased our financial position, we've enhanced our liquidity. I mean there is absolutely no comparison of today's Korn Ferry to the 2002 Korn Ferry. So I think that significantly increased scale and the stronger financial position will allow us to withstand a near-term revenue decline that similar to what we experienced back in SARS and maintained a 10% to 11% adjusted EBITDA margin on a trailing 12 basis without taking any restructuring actions by the way. But again, I think that coming back full circle, our overall priorities for our colleagues. And we are taking a - what I think is a balanced approach to these prices, which is really anchored around three things: One, safety; two, caution; and three, agility. And that last part will be incredibly important. And I think we've positioned this Company to be very, very agile. So I think we've taken the steps, we've got a business that is in the people business, people drive organizations, and probably more bullish today than I've been about the opportunity for Korn Ferry in the future. So, I'm joined here by Bob and Gregg. And so, I'll turn it over to Bob.
Bob Rozek: Great. Thanks, Gary, and good afternoon, everyone. I'm going to start with a few highlights. So in the third quarter, we reached another milestone as our quarterly fee revenue eclipsed the $500 million mark for the first time in our history. As Gary indicated earlier, our fee revenue in the third quarter was $515 million, that's up about 9.4% year-over-year at constant currency. Growth in the quarter was driven primarily by our new KF Digital segment, which at $99 million was up $37 million or 61% year-over-year at constant currency, and RPO and Professional Search which was up $12 million or 17% year-over-year at constant currency. I'll talk a little bit about the integration of the recent acquisitions. That activity is on plan as are the cost savings associated with the rationalization of the combined cost base. In the third quarter, we recorded charges of about $21 million for the elimination of redundant positions and facility rationalization. Our third quarter cost base reflected savings of about $6 million. And because those actions took place over the course of the quarter, some in fact happened in late January, we expect an additional savings of about $3 million in the fourth quarter. As previously disclosed, and Gary talked about, we've now divided our legacy Advisory segment into two components, KF Consulting and KF Digital. And the results of the recent acquisitions are reported within the new KF Digital segment. And Greg will provide some more details about that in his prepared remarks. We continue to execute on our policy of maintaining a balanced approach to capital allocation. For all of our fiscal year '20 through today, we have now repurchased about 2.1 million shares using total cash of about $80 million. Currently, we have about $171 million remaining on our authorization for share repurchases. Additionally, today, our Board declared a 10% per share dividend payable on April 15, 2020 to shareholders of record on March 26, 2020. And finally, I'll just comment, our balance sheet remains very strong. We have approximately $420 million of investable cash at the end of the third quarter. I'm now going to comment a little bit on new business trends. Globally, new business in the third quarter was up about $25 million or about 5% at constant currency. We're also continuing to see differences in the trends of new business within our lines of business. If you look at what Executive Search did in the third quarter, that business was down 6% year-over-year. However, our Professional Search business on a global basis, their new business was up about 20%. So again, we continue to see data points as we've talked in the past that the diversification in the business is really starting to take hold. In the third quarter, RPO was awarded $58 million of new business, consisting of $32 million of new clients, we call new logos, and $26 million of extensions and renewals with existing clients. Our Consulting new business in the third quarter was up 2% year-over-year, led by North America, which was - had a very strong quarter, up 9% year-over-year. And then finally, excluding recent acquisitions, the Digital new business was up 9% year-over-year at constant currency, and that was also driven by North America, which saw a 21% increase year-over-year. And finally, our adjusted diluted earnings per share in the third quarter was $0.75, down about $0.06 or 7% year-over-year, driven in part by the change in our revenue mix, little bit higher net interest expense and higher effective tax rate, which was about 26.5% in the quarter compared to 25% in the third quarter of fiscal '19. I'm now going to turn the call over to Gregg to review our operating segments in a little bit more detail.
Gregg Kvochak: Okay. Thanks, Bob. Starting with our new Digital segment. Global fee revenue for KF Digital was $99 million in the third quarter and up approximately $37 million year-over-year, driven primarily by our recent acquisition. The subscription and licensing component of KF Digital revenue in the third quarter was approximately $21 million, which was up $7 million year-over-year. Adjusted EBITDA in the third quarter for the Digital segment was $25.9 million with a 26% adjusted EBITDA margin. Now turning to Consulting. In the third quarter, Consulting generated $141 million of fee revenue, which was up approximately 2% year-over-year at constant currency. Consulting fee revenue growth was strongest in North America, which was up approximately 6% year-over-year. Adjusted EBITDA for Consulting in the third quarter was $18.7 million, which was up $1.7 million or 10% year-over-year. Adjusted EBITDA margin was 13.3% in the third quarter, which was up 110 basis points year-over-year. RPO and Professional Search generated global fee revenue of $92 million in the third quarter, which was up approximately 17% year-over-year at constant currency. All geographic regions grew in the third quarter. By component, Professional Search was up approximately 9% year-over-year and RPO was up approximately 20%. Earnings and profitability for RPO and Professional Search continued to scale in the third quarter. EBITDA in the third quarter was $15.2 million, up $2.1 million or 16% year-over-year and EBITDA margin improved to 16.6%. Finally, for Executive Search, global fee revenue in the third quarter of fiscal '20 was approximately $183 million, which compared year-over-year and measured at constant currency was down approximately 4.6%. The total number of dedicated Executive Search consultants worldwide at the end of the third quarter was 582, up 30 year-over-year and essentially flat sequentially. Annualized fee revenue production per consultant in the third quarter was $1.26 million and the number of new search assignments opened worldwide in the third quarter was 1,565 which is down approximately 3% year-over-year. Adjusted EBITDA for Executive Search in the third quarter was approximately $41 million with an adjusted EBITDA margin of 22.1%. That concludes our prepared remarks and we'd be glad to take your questions.
Gary Burnison: Okay. David, we'll open it up for questions.
Operator: [Operator Instructions] The first question comes from the line of George Tong with Goldman Sachs. Please go ahead.
George Tong: You indicated that your February new business is up 6% year-over-year. Can you break that down by business line and talk a little bit about the trends that you're seeing leading into early March?
Gary Burnison: Daily life has come to a halt, it certainly appears if you are a human being on this planet. I would say that February new business was up constant currency 6%. That's benefited by our most recent acquisitions. So, when you look at it on a same-store sales basis, it probably be up about 2% or so. Regionally, including the most recent acquisition, I'll just do it by region, North America was up 7%; Asia was up 7%; ironically, in February, China was up 17%; EMEA was down 3%; Latin America was up 6%; and Search in North America was very good in February. And look, it is just way too early to call March, and you can't take one data point by - in the first few days and actual mileage may vary, but in the first few days in North America Executive Search, it's the best start we've had in months. And so I think that you just cannot - that is just one data point out of many when you consider what the world captivated by right now.
George Tong: Right, that makes sense. And just to follow up on that, as it relates to the potential impact from the coronavirus, I know it is too early to tell, but can you talk about how conversations with clients are progressing? Is it more of a push out? Is it an elongation of the sales cycle? Or is it more of a contractionary tone where people are looking to reduce head count? What kind of - what's the tone that you're sensing?
Gary Burnison: Too early to tell.
Operator: Our next question comes from the line of Tobey Sommer with SunTrust. Please go ahead.
Tobey Sommer: If we could ask few questions about the Digital segment. How much of that segment is recurring? If I heard you correctly, I think you mentioned new business in North America was up. And if I'm right about that geographic comment, does that imply International was down? And if so, by how much?
Gregg Kvochak: I think, Tobey, that's related to Consulting, you asked about Digital, right?
Tobey Sommer: Yes. So, maybe I'll stick with that. How much of it is recurring? And do you have any kind of wallet share kind of metrics you can share with us?
Gregg Kvochak: Yes. So if you look at the deck we posted, Tobey, we now started to present separately the license and subscription revenue, and that was - in the quarter, it was $21 million. So roughly, out of the $100 million or so, it's about 20%. And those represent engagements where people sign up to have access to either what we call our Talent Hub, which is where the assessments reside - assessment science resides. And then the Pay Hub, which is where our pay data resides, and they are generally - at a minimum one year contracts with - it could be two or three years, and associated with those contracts and there's different service levels, I can't remember exactly, but it's just like brands, silver, gold or something like that, and those have different levels of interaction that we would have with the clients in different fee levels associated with them.
Tobey Sommer: So is it...
Gary Burnison: So when you look at the - Tobey, when you look at the business, so it's $400 million, that's what it was in the third quarter annualized. Let me point out a couple of things. The recent acquisitions that we did, they have a little bit heavier weighting in that quarter as we've come to understand that business. So that's number one. But when you kind of look at that annualized number of $400 million, there is a $100 million of it that essentially comes from pay. So companies, we got pay data on, 20,000 companies over 20 million people. So companies around the world license our IP around that. A substantial part of that is repeat. As they're coming in year in, year out, they may come in for different things, but very, very high percentage of repeat. The next biggest piece that we really want to grow is learning and development. And so that would be - that would probably be, call it a - I'm just rounding numbers here but, $150 million, $175 million. That also has a relatively high return percentage, not quite as high as pay, but pretty high. Then the remaining pieces are where people license our IP could be around organizational strategy. So how do you set up an organization, spans and layers, roles, responsibilities, job profiling, and then assessment and succession. So what Bob has talked, we want to move that business as a whole, so that it is much more looks like a SaaS business. And so today when you look - if you were to take a snapshot of our business, I think our estimate would be for that - for their quarter, for example, about 21% - 20%, 21% would fit that. We obviously want that to be higher, and that's where we're trying to take that business.
Tobey Sommer: Great. And how much higher and in what time frame?
Gary Burnison: Well, we definitely - look, you at least want to double it. I mean, we'd love to make that 50% of the business. But we've been investing money now over several quarters to make sure we've got the platform now with - the real opportunity there when you look for Korn Ferry, it's really around learning and development. That is a massive market. And so with the recent capabilities that we've added, we want to add to that. So the time frame, it's - that's going to be hard for me to pin down particularly when people are worried about their own survival.
Tobey Sommer: Okay. Well, I'll ask you the question again hopefully when corona isn't front and center.
Gary Burnison: Yes.
Tobey Sommer: What - how much does the Miller Heiman acquisition expand your addressable market?
Gary Burnison: It expands it quite considerably. When you look at it, there is really - there is two or three pieces we pick up. One is around sales professionals. The second is around project management training capabilities. And the third is technical. And so in each of those, we did - so number one, our leadership development business that we had before - we did this acquisition. So, before we did it, we probably had about $175 million - I'm just rounding. $175 million or so of leadership development. This adds - what we said when we announced the deal, it will add $120 million of revenue in the quarter, it definitely contributed a little bit more than the $30 million pro rata. So it's a $300 million business. So, before we did these recent acquisitions, our leadership development was at the high end. I mean it was teams, it was individuals. What this does is open us up to where the substantial part of the market opportunity is. And that's around professionals. And so let me just take one of the three that we just picked up as an example, sales professionals. I mean, just in the United States there is probably 15 million sales professionals. We place thousands of sales professionals every year. We have profiles of what great looks like for sales professionals. So we can combine there the assessment of sales professionals, what you're trying to achieve organizationally to the development. So that does expand the addressable market.
Bob Rozek: Yes. And Tobey, this is Bob. The other thing I would add to that is, as you think about the - bringing all of our assets together, Gary mentioned a couple of times the various amounts of data that we have, which we then bring back into whatever solution is we're delivering to a client and that data cuts across geographies, companies, industries and so on, and really provides us with a very, very unique opportunity to have an informed point of view that others just can't have.
Tobey Sommer: Thanks. I'll ask one more question and I'll get back in the queue. When you look at your different segments now, which ones of them do you think are gaining share and which ones are losing market share?
Gary Burnison: Sizing market, I'm always - I've - in my whole career, I've always been - it's a bit of an art and not science. I think there is - I'm not so much worried about share, I'm worried that we capture the - the market opportunity is big. So when you look at the - the Executive Search business is critical strategically for the Company, no question about it, because it provides tremendous access. And we have demonstrated now that it's not talk, we can actually do something with that access. But let's face it. The Executive Search market is a small market. And the much bigger markets are around knowledge - around recruiting for professionals, knowledge workers. That is a market that is several times the size of the Executive Search market. When you look at the market opportunity around Org. Strategy, assessment and succession, learning and development, and rewards and benefits, depending on how you want to do the artwork, that could be $100 billion, $200 billion market. I mean, that could be really substantial. When you cut through that, the biggest piece by far you're going to focus on is training, is learning and development. So part of that is compliance, part of that is technical. So I'm not - I really am not so caught up in the market share gain, I'm caught up in creating a new company that goes after a much bigger market. David, anything else?
Operator: Yes. Our next question comes from line of Mark Marcon with Baird. Please go ahead.
Mark Marcon: One thing, just with regards to Miller Heiman, how - did you say it contributed more than $30 million this quarter?
Gary Burnison: The acquisitions, so when we did it, when we announced it - and we're - actually, now we've integrated the businesses, so I'm not going to be able to give you line of sight in the future. But when we announced the deal, we said that it would contribute $120 million - the three would combine - would contribute $120 million of fee revenue to the Company, is - although we've integrated the businesses when we look at it, it appears like it contributed somewhat north of $30 million in the quarter for all three, Mark, for the three companies.
Mark Marcon: And then with regards to - and that all fell into digital, correct?
Gary Burnison: Yes.
Bob Rozek: Correct.
Gary Burnison: Yes, that's exactly right.
Mark Marcon: And then when we take a look at the adjusted EBITDA margins with regards to digital, it went from a year ago where it was Miller Heiman wasn't included, it was at 33.8%, went to 26%. How should we think about the trajectory with regards to the adjusted EBITDA margin on that part of the business?
Bob Rozek: Yes. I think - Mark, I think you'll see that going - by the time we get done with all of the integration activities, and some are going to go into the Q1 of next year solely because we have to pick them up and put them into our systems, and that's not going to happen until May 1. And so there will be further position eliminations occurring after that happens. And so we'll eventually wrap this up to 28%, 29%, 30% as we go forward, and then obviously as the business grows and we get more leverage, we could pretty easily be north of 30%.
Mark Marcon: Great. And then how should we think about the consulting business now that some portion of that has been stripped out? It looked like it had some good progress going from 12.2% to 13.3%. How should we think about that going forward?
Bob Rozek: Yes. I think the consulting business is - as we look at it from a long-term perspective, Mark, the EBITDA margins would be sort of in the 12% to 15% range. So I think we probably have another couple of hundred basis points of areas that we can continue to improve.
Mark Marcon: Great. And then with regards to just from a geographic perspective, just drilling down a little bit more. Gary, you mentioned China is actually up. Can you talk about like the rest of what you're seeing in terms of Asia, whether it's Singapore, Hong Kong, Japan, what are you seeing there? And I know it's just going to day to day, and then I have another follow-up.
Gary Burnison: Well, it's - I think that overall when you look at Asia, it's actually been very, very surprising. So the trends in many of the countries that you cited are positive. So just again to pick - just to pick Japan because you commented on it, it's up 10% in February over the prior year. And if you were going to go to Singapore as an example, it's up 60%. So it's - overall, I think when we look at trailing four months new business, you're going to find it looks pretty good in Asia, which seems very counterintuitive to all the commentary that I've made.
Mark Marcon: Yes. I mean, including - if you take a look at Q4 Japanese GDP which was recently released, it was - that was down like 7%. So beating up 10% is pretty darn good. Is that because you're gaining share there? Or do you think just that - some of the things that we hear are just kind of exaggerated?
Bob Rozek: I think, Japan, as we have an extremely good leader who came on board, I don't know, maybe it was 18 months ago or so, and I think he is having real impact on the business over there. In fact, Gary talked about some of the actions that we've taken in terms of moderating head counts. And that's one area, because I have the unenviable task of approving hires in the Company and that's one area that we continue to invest in off the back of this individual.
Gary Burnison: I think Bob's comments are spot on. And what I'd add though is that you've got aftershock. So in Los Angeles, we're very accustom here to earthquakes and then the aftershock. So I really think with this crisis, you will see aftershocks. And so I - that would be my own view. And so, if you just take China for example, it's really taken eight weeks essentially, and there was a new year in there too. But eight weeks for things to get back to kind of the new normal and the new normal is not the old normal. And whether it is a V or a U or any other alphabet letter you want to pick, I think what you're seeing is the concept of aftershock. And so what you may be seeing is new business actually reflects discussions that were going on for a long time.
Mark Marcon: I appreciate it.
Gary Burnison: I don't think the initial earthquake for new business is that meaningful.
Mark Marcon: And Gary, you've been through these before in terms of whether it's a shock or something that's more protracted. From a capital allocation and discretionary spending perspective, how should we think about things? And like thinking about share buybacks, where margins could, say, it's a range of outcomes? How - what's the - what's a bad situation relative to kind of a moderate situation just in terms of - based on the limited information we currently have?
Gary Burnison: Well, I think, without regard to - this is my 72nd earnings call, and it was - I remember exactly 20 years ago when dot-com, it was March, that bubble popped, I remember in October of '87. So this isn't our first rodeo. I would just - regardless of what's happening today, we're going to commit to the operating boundaries that we have talked to our investors about. And so as an example, if you were to take SARS that happen due to the old Korn Ferry back in 2002/2003, today's Korn Ferry, if that were to happen, we would run the Company without taking any action at about a 10%, maybe 11%, trailing 12 EBITDA margin. In any kind of environment, what we have told our investors is that we would operate the business with mid-single-digit EBITDA margins, obviously, after taking if there is some restructuring to be on an adjusted basis. And we're absolutely committed to that and I'm confident in that.
Operator: The next question will be from the line of Marc Riddick with Sidoti. Please go ahead.
Marc Riddick: So I wanted to touch a little bit on some of the - there were some investments spending and planning that have been worked on for some time, whether it was branding initiatives and investing in personnel and what have you. I wanted to get a sense of sort of kind of where you are, maybe what inning we're in as far as some of those projects as well as the idea of whether or not what we've seen over the last few weeks has altered kind of your near-term plans on that or maybe sort of give a little bit of color around that. Thank you.
Gary Burnison: Well, I think the - look, the first thing is, what we're concerned about is the health and well-being and I know all of us as citizens of the world, our first and primarily concerned about that - it's very hard to think about anything else quite candidly, but we have a track record, the track record speaks for itself. As we indicated, many months ago that we were taking certain actions to position the company for the future, which we have done. And so we do have different types of contingency plans that's been part of our playbook and we're going to continue to execute those. I would say that when we are looking at the business, there is a market opportunity for us that is billions of dollars and we have to look to that market opportunity. And so whether that means organically or inorganically, we're going to continue to do that. We have a stated goal of driving our Marquee and regional account plans that we have. So we're going to continue to look for people that can build that out. Our Consulting business, now - our Consulting business, when you look at it, is globally, probably took last quarter annualized, it's probably $600 million. The US business is only $200 million, $200 million, I mean, think about the market opportunity. So we're going to continue to operate. We've got a strategy that we think has grown the company, it's a completely different company today. I mean some of the business that we've won over the last week is just substantially - it's breathtaking. When I think about the Korn Ferry in 2002, multi-million dollar Consulting engagements around organizational strategy competing against the four big strategy firms. I mean just a different Korn Ferry today. But you know again it's - right now I think all of us are concerned about what we can do to protect human life. I mean that's our - that's absolutely what we're thinking every day about and so we've got some places around the world where our colleagues can't come to work. China has been through a very, very difficult time and the news is changing by the hour and that's what we're focused on right now.
Marc Riddick: And then from an offensive standpoint, I suppose, is there a way to - are there areas where you can sort of point to be the anecdotal or what have you - where the uncertainty is actually something that may lead to greater engagement, particularly with some marquee customers that may find themselves in position where working with you is actually may be more beneficial than some smaller peers or anything like that? Thanks.
Gary Burnison: There is an area of the world that went through this very early and they're now - this institution is talking to us about how they restructure their company. And so, yes, absolutely those situations will develop here over time.
Operator: The next question will be from the line of Tim Mulrooney with William Blair. Please go ahead.
Tim Mulrooney: So back to Digital, within the $400 million Digital business, it sounds like about 20% of that revenue stream is subscription-based right now. What do you think the Digital business is capable of generating long-term, could this get up to 30% or even 50% and what would be the implications to your margins?
Gary Burnison: Well, you know, yes, we do think that's what we're trying to capture and so could it be doubled where it is today in terms of the subscription offering. Today it's 20%, could it be 40%? Sure. The long-term margin in that business can be, it could be very high. I mean, it could be 33%, 34% and obviously that's not necessarily in the next quarter or two, but there is no question, that's our - that is one of the lynchpins of our strategy, is that we've got tremendous IP and insight around what makes an organization great, what separates good from grade in terms of people, how do you compensate those people, and how do you develop - and you know, we started this business KF Advance 18 months ago and the real goal was to capture a B2C revenue stream for the company. That was the initial vision and what's turned out, the business is still relatively small on its own. But the technology platform that we've developed is powerful and so now we're using it. We just a few days ago got a $5 million assignment from a lot major life sciences company where they want to do training for 4,000 first-time managers. Well, guess what platform? That platform is going to sit on KF Advance. So, there is definitely - there is that kind of opportunity for us.
Bob Rozek: Yes. And Tim, this is Bob. The other thing I would say is, if you think about our RPO business, they built a platform that they use to deliver the RPO services which makes that business extremely sticky. And as you think about the platform that we have for Digital, one of the things that we're working on now is how to integrate their platform into the delivery of our Consulting services on the same theory being that - once you do that, then it becomes very, very sticky.
Tim Mulrooney: So this is early innings, but still evolving and where we might be a year from now could look a lot different from where we are today?
Bob Rozek: Yes. I would say it's very early innings.
Gary Burnison: Yes, we're just taking the field. We've hit some balls and now we're going to take the field.
Tim Mulrooney: Okay, all right. That's really helpful. Thanks guys. Staying within Digital, if I look at your customer basis within your Executive Search and your KF now what's called KF Consulting businesses, what percent of those customers also use your Digital products. I'm trying to understand the attachment rate?
Gary Burnison: It's very, very high. And that's the opportunity, right. I mean if you look, number one, what I would say is, inside sales, so when you look at the enterprise as a whole, 24% of the revenue is actually coming from referrals from other lines of business. The referral into Consulting in 27%. It's actually going up and that's the great thing - it's moving up with time and we're going to find that with Digital too. That's an anchor - that's a foundation to our strategy.
Bob Rozek: Yes, I think, Tim, I think there is multiple ways that we look at that and try to measure it. But the - you should be thinking today attachment rate or kind of pull-through is probably in 35% to 40% range. So that - as Gary indicated, that's where as part of the early innings, we're doing a lot of work with the folks in Digital and the folks in Consulting and just in terms of educating everybody on the new platform, what it does, what it has and all that, and the emphasis going forward - that will be on following the Digital assets into in delivering them as part of a Consulting arrangement.
Tim Mulrooney: And vice versa.
Bob Rozek: Yes.
Tim Mulrooney: Yes, that makes sense. Along those same lines, if I think about after a Consulting engagement end, within the KF Consulting business, how often does the customer continue to use those Digital products even though you may not be working with them in a formal Consulting engagement?
Bob Rozek: They would absolutely continue to use them on an ongoing basis. If you think about - we might do an engagement with, you can do with the Board, the comp committee or management around pay, but if they're using our database, they're going to use that on a continuous basis. That's the whole theory with the leave behind, is it that's something that then becomes embedded into whatever HR process, the company has engaged us for, it just becomes part of the - an integral part of their process, whether it's pay, assessments, assessments to acquire talent, assessments for succession planning, assessments for development purposes and so on. And then - the real beauty of, if you think about what we do, we operate along every aspect of an employee's engagement with his or her employee. And so we have a common language across - everything we do is common science, common language. And as you, as a consumer of our services, if you don't use Korn Ferry, your using company A for pay, company B for assessment, somebody else for talent acquisition and it's up to you to cobble it all together, it makes sense of it where, if you're doing that with Korn Ferry, everything is common - common nomenclature sites and all that. And we actually do the knitting together for you.
Tim Mulrooney: And I know we're butting up against the hour mark here, but I do have to try to fit in one coronavirus question. This, as it relates to our models, as I look, I guess you have four different segments now, are there some segments that you would view as being more susceptible or perhaps more resilient to this type of macro uncertainty? Thank you.
Gary Burnison: My humble answer and honest answer is that I can't - I just can't predict that, who would have predicted a week ago that the Indian Wells tennis tournament would be cancelled, who had predicted that you couldn't travel on a subway or you were advised not to travel on a subway to Manhattan. I mean, I think we have to see what happens with this health crisis and that's why we're not, that's why we're not providing guidance.
Operator: And there is a question from the line of Tobey Sommer with SunTrust. Please go ahead.
Tobey Sommer: What's your posture on toward hiring revenue generators at this point, across your businesses?
Gary Burnison: I'll go for it. We're going to continue. Without talent, there is no show. So we're going to work, going to continue to bring in talent and more importantly promote talent. So this last year we promoted over 1,000 colleagues. We're on campuses recruiting. And so we're going to - we're going to continue to do that.
Tobey Sommer: In your business - that's a little bit longer lead time like some of the Consulting engagements that may be delivered over months and quarters and RPOs that can be multi-year. What's the responsiveness been of customers where they have to open a rack or actually on board someone in the case of an RPO or move a Consulting engagement forward and actually schedule it in terms of longer-term Consulting assignment?
Gary Burnison: Let me, yes, so I'll have Bob. Bob has got - he can comment on the revenue recognition by solution, by line of business, but I would just at a very, very high level, what I would say is the RPO business has the longest tail. It - generally speaking, meeting of the bell curve for the RPO engagements, it would have the longest tail. And what we're winning today which I think is good long-term for the company, we're winning complex, large, global or multi-region deals. So for the long term, I think that is incredibly healthy for the company. Obviously, an environment like this that may make that a little bit more challenging. But I would say that, our backlog in that business has been as strong as it's ever been. So that would be first. Second is, the next thing I would look to is learning and development. So those tend to be, again not quite as long as the RPO engagements. But definitely have a longer tail for sure. Then the third piece would probably be assessment and succession, where some of those - we may - somebody may sign up to do 5,000 assessments for a particular company and that could be over multiple months. But Bob, do you want to just comment on that?
Bob Rozek: Yes. So I think, there is actually a couple of things happening - Tobey, I'm sorry. As we think about going back to the RPO, Gary commented on the large global complex. Those engagements, by definition, are going to take longer to stand up. Right. So when we have smaller regional ones, we stand them up quickly and you start recognizing revenue, more revenue earlier in the contract. And what we're finding is, as Gary indicated, it's great success to win those engagements. But it is impacting the early sort of, I would say the early quarter or quarters revenue recognition, I will still get it as it gets pushed out, but it does have some impact. On the Consulting side of the business, we're selling larger integrated deals. If you look at, if you were to go and stratify our new business last year, this year into below 100,000, say 100,000 to 250,000 to 250,000 to 500,000 and then engagements above that. You'll see a real shift in the number of engagements awarded that are of higher value. And again if you think about - because we talk about new business being up and it's not necessarily translating to the very next quarter's revenue because of the nature of the engagements that we're selling - their larger integrated solutions, and it - just takes longer to convert those into revenue. It's all the right stuff for us to do is a business, because we're layering in to use the term backlog. We're layering in engagements into that backlog that will provide us with a nice platform over time.
Tobey Sommer: I guess that gets to it though, is there a - are you experiencing a change in the cadence of the customers kind of drawing on those projects? Are they slowing them down, either the throughput in RPOs or the Consulting engagements?
Gary Burnison: You talk about, because of the coronavirus Tobey?
Tobey Sommer: I'm not going to describe causation relationship, but I'm asking about, are you seeing slowness and we can think about whether it's corona or something else afterwards?
Gary Burnison: Well, certainly in the last week, obviously, parts of the world have lived with this for quite some time. And for the United States, for different parts of Europe, it has been relatively recently. And so I, it is very hard to comment on a week's worth of activity. Right. It's almost impossible. And that's why we're not - for the first time 72 quarters, I haven't provided guidance. And so you've got a real humanitarian crisis and it is tough for us to predict what happens with that.
Tobey Sommer: That makes sense. Last question from me. What's the proportion of revenue that the company has with oil, airlines, travel and leisure, restaurants, those kind of things that may be impacted by kind of most directly by the phenomenon?
Gary Burnison: Yes, relatively small. Energy, strictly energy upstream, downstream is probably about 4% or 5% of the company. Airline is - airlines have been relatively small for sure, less than that.
Operator: Our next question will be from the line of Mark Marcon with Baird. Please go ahead.
Mark Marcon: Thanks for taking some additional follow-ups. Just on the verticals. Financial services, where do we stand now in terms of percentage of business?
Gary Burnison: Gregg you have that handy. It’s probably 17% or 18%, right you can do as a percentage.
Gregg Kvochak: Yes, Mark. If you look at the slides that we posted on, you'll see that financial services is 70% of the business.
Mark Marcon: And then with regards to the Digital solutions, there's lots of different sub-segments that you're in. When we take a look at like organizational strategy versus assessment and succession and leadership development, which area are you the most excited about long term, Gary?
Gary Burnison: Well, I think - the idea is to, if they have an integrated platform, I mean that would be our concept. Now, whether customers are actually going to buy that way, that's yet to be proven. But we definitely would love for that to be the case. But I think just when you look at the size of the market, the learning and development has to be, just given the market size where the biggest prizes. Now, where we have the most capability is on assessment and succession. And so what we've got the unique ability to do is to be able to marry that. So we have done 69 million assessments like - we can identify a sales person in this vertical needs to look like that we can have them taken assessment, we can look at their traits, their drivers, their competencies and then we can package development to help them along the journey. So clearly, the assessment and the learning and development are like peanut butter and jelly. The organizational strategy and the rewards and benefits are a little bit like Pringles. I love to have them with the PB and J, but it's like - do you - can you, I don't know if a customer is going to buy all of them, we love them to, but I think when you look at the meeting of the bell curve the anchor is got to be the assessment and succession learning and development.
Mark Marcon: And then can you give a little bit of granularity with regards to that contract that you mentioned just in terms of like how it's structured, how it's priced, how we should think about those things?
Gary Burnison: Well, this is a life sciences company, thousands of first time managers. I certainly do not want to get into how it's priced. It would be delivered over a couple-year period of time. And what, again, I think the underlying competitive difference that we have as an organization is IP. And so the fact that we've built and acquired a database around what separates great from good is an incredible differentiator and if you can combine that with development, practical learning and development steps, which was the foundation for this KF Advance business, I mean that's a winner for sure.
Mark Marcon: And then, hate to ask another virus question, but just in terms of organizationally, how, what percentage of your consultants are not traveling now?
Gary Burnison: Well...
Mark Marcon: Or what is the guidance or how should we think about it?
Gary Burnison: Yes, well, yes, we have about - there is about 8,600 colleagues in the company. And so, we have indicated at this point, we've indicated at this point that we shouldn't be traveling essentially. It has to be mission critical, non-essential travel has been curtailed for quite some time. So that's the guide post, but we are trying to communicate daily with our workforce and in different parts of the world, we've gone through, obviously, in China, many weeks into this, in Italy it's a few days. And so, it kind of varies by country, by office.
Bob Rozek: Yes, I would say, Mark, that the - with what our folks are doing in order to conduct business, we're seeing the same thing, it's coming back from our clients. And so, to the extent that we're not traveling, they're not travelling, we're working with our clients now to find alternative ways to deliver those services that they need.
Gregg Kvochak: But at the same time, I will say a couple of things, and Bob just spot on, he's absolutely right. We have clients that are visiting us all over the world every day. We - in New York or San Francisco, people are coming into our offices, we're trying to take the right precautions and the other thing that we're doing is we're trying to do as much pivoting as we can to a more virtual setup and I'm sure every company in the world is doing that. But we're making a hard, a real full-court press to try to do that.
Operator: And there is a question from the line of Kevin McVeigh with Credit Suisse. Please go ahead.
Kevin McVeigh: So obviously your thoughts are with all your folks from a safety perspective. Wanted to talk, Gary like you're saying, you've been kind of I think 72nd call. You framed out you're good enough to frame out kind of the source. Do you think this sits somewhere between source and after kind of global financial crisis in terms of the level of uncertainty or you just from a client positioning perspective, and then just one thing it's always been helpful is how you folks have reacted internally. Are you - from a - we'll be back in the market buying stock, are you thinking about any type of contingencies from expense perspective internally or just given the uncertainty, how are you folks approaching that?
Gary Burnison: This is different than October of 1987. It's different than March of 2000. In 2006, we got very concerned before the turn. We took actions. Several months ago, we also took actions and nobody could have foreseen this. And so this is a humanitarian crisis, let's be honest. And so I think when people are worried, look, I'm doing the same thing that everybody else does. Right? You go into grocery store and there is no toilet paper, and panic buying, we get panic buying, panic selling, we get panic selling. And so our primary goal has been around the safety of our colleagues. But strategy doesn't go left to right, right to left, left to right. You've got to have true north and that's got to be anchored around purpose and we're going to be very consistent as we've been in the past. And so we are going to have a balanced approach to capital allocation. We've obviously, months ago we put in place a - we've got $1 billion of - we've got $400 million debt issuances. We got $600 million in revolver capacity. We've got net cash of $420 million. So it's certainly, again, nothing is more important than the preciousness of life. So it's hard to compare these two because there is no - there's absolutely no comparison. But the company is an incredibly different company today, there is no question about it. And I think we've done everything humanly possible to position us for our colleagues, our clients and our shareholders.
Kevin McVeigh: And then just real quick, any impact from kind of AON, Time Warner. How we should think about that across the business. I guess directly or then, even just from a competitive perspective?
Gary Burnison: No, I mean that's AON Towers but we know.
Kevin McVeigh: Towers rather.
Gary Burnison: Not really. I think it's early days. So I don't think there is - there is not an impact to our business if anything would be positive.
Operator: It appears there are no further questions, Mr. Burnison.
Gary Burnison: Okay. Well, thank you for the time and certainly it's unprecedented at times. But, like I said, we've tried to have a playbook here of safety, caution and agility and most importantly common purpose and that's to enable people and organizations to exceed their potential and clearly, we are now more than the world leader in Executive Search. And it's all about how we can synchronize a client's talent strategy, so the individuals, teams and the entire organizations can be more than you know that's our purpose. And we are the preeminent organizational consulting firm. So I thank you very much for your time and we'll look forward to speaking next time. Thank you very much.
Operator: Ladies and gentlemen, this conference call will be made available for replay for one week starting at 8:30 PM Eastern Time today, running through today March 17, ending at midnight. You may access the AT&T Executive playback service by calling 866-207-1041 and entering the access code 293-446-3. International participants may dial 402-970-0847. Additionally, the replay will be made available for playback at the company's website www.kornferry.com in the Investor Relations section. Thank you. You may now disconnect.